Operator: Welcome to the Luxfer Group Fourth Quarter Conference Call. We will first hear from Luxfer's Chief Executive, Brian Purves, who will provide a market overview; followed by Group Finance Director, Andy Beaden, who will review financial performance. Brian will then return to sum up and offer an outlook. After that, Brian and Andy will take your questions. [Operator Instructions] 
 We now turn the call over to Brian Purves. 
Brian Purves: Thank you. Good morning, ladies and gentlemen and welcome to the Luxfer conference call on the fourth quarter of 2013 and full year 2013. I will now take you through the summary of the results on the market situation and Andy will go on to talk about the detail on the financials.
 Trading during the fourth quarter followed a similar pattern to the earlier parts of the year, with, disappointingly, our European operations continuing to struggle. Several customers deferred shipments out of December. Our overall revenue was lower than we expected with 2 matters to be noted. Firstly, in November, it became apparent that the expected launch of the 2013 standard breathing air kits was going to be delayed because of a mistake by the testing authority. The SCBA or life support market is our single biggest market sector with nearly $60 million of mainly composite cylinder sales in 2013, driven by our global contracts with the 3 largest suppliers of such equipment. Since the industry became aware of the delay, demand for our cylinders are slowed.
 Secondly, we had expected to be shipping bulk gas transportation modules to Australia under a new contract. Our customer took rather longer to finalize their contract with the mining operation involved and, while the order is now secure, shipping will now be over March to June of 2014.
 Although, sales were down, sales mix was good and costs were controlled. So operating margins were higher and the operating profit impact was held at $1 million to $1.5 million. Despite the lower trading profit, with the benefit of the work that Andy and his team have been doing to reduce the marginal tax rate, adjusted fully diluted EPS of $0.40 was actually well above the consensus forecast for the quarter.
 In looking at the adverse trading profit variances to prior year, it is important to remember that there is approximately $3 million per annum of incremental costs being incurred as a direct consequence of our listing in October 2012. Some of which is one of expenditure, such as the cost of implementing Sarbanes-Oxley-compliant systems.
 Looking at the sales revenue movement, Slides 5 and 6 crack through from the 2012 fourth quarter result at the top of the schedule, through to the 2013 result at the bottom. In our Elektron division, the comparison year-on-year is still influenced by the reduction in rare earth surcharges. But cerium prices now appear to have stabilized and therefore, surcharges are not expected to be important to explaining movements in 2014.
 Stripping the 2013 movement out, underlying sales are lowered by some $4 million in the quarter versus a year ago. The European arm of our Zirconium business suffered from a number of customers delaying deliveries. Indeed, at short notice, 1 automotive customer closed their factory for a 3-week period over the holiday season. Having said that, there were small positive signs in the order book at the end of the year.
 Slide 6 in the Cylinder business, the Cylinders business had a weaker quarter in terms of overall demand. Sales revenue in Q4 was down by $7 million on last year, with continuing low levels of activity in our European aluminum facilities. Demand for composite SCBA cylinders was held back by the delayed NIOSH standard. While alternative fuel was no better than last year, our cylinders intended for the Australian virtual pipeline contract ended up in stock.  
 Over the year, sales were up by $15 million. But the increase in composite sales was more than twice this level. While demand for aluminum cylinders, especially in Europe, was well down in 2012, which was admittedly an exceptionally good year for sales of aluminum products. We believe the underlying demand for SCBA kits, mainly for fireman's breathing apparatus to be very strong in the U.S. The unexpected requirement to retest all of the new 2013 standard kits has, however, introduced an estimated 4-month delay with end-of-June 2014 now being the cutoff date for cerium kits made to the earlier 2007 standard. We currently expect the new kits to be launched at some point in April.
 Looking at our strategic growth projects, on alternative fuel cylinders, I'm pleased with the profitability of the ex-Dynetek plants and we will not refer to them separately in 2014 and beyond, as I believe we have achieved our objectives and integrated them fully into the Cylinder division. There is much excitement in the gas containment industry about the prospective use of compressed natural gas to power class 8 trucks in the U.S. Cummins Westport, our advising is around 93% of their new natural gas engines are being specified to run on compressed gas rather than liquefied gas. The most popular cylinder is shaping up to be 26 inches in diameter, a size that is currently not possible to achieve with an unwelded aluminum liner. For some time, we have been working on Type 4 cylinders with a high density polyethylene liner in place of the aluminum. This gives much greater flexibility on diameter and the bulk of this strength in a composite cylinder comes from the carbon fiber roughing [ph] pattern. We are getting close to launch and our newly signed agreements to purchase a purpose-built manufacturing facility will be very useful in that regard.
 On gas transportation modules, while earlier calls are focused on our joint venture with GTM technologies, which is largely focused on North America, the ex-Dynetek German plant, now Luxfer Germany, also has experience in this area. And it is this operation that is won the order to supply bulk gas transportation modules for the virtual pipeline project in Australia. The gas will be taken some 200 kilometers from the nearest pipeline to a massive iron ore mine in Western Australia. The operators of the mine intend to convert their power generation from diesel to compressed natural gas, saving many millions of dollars along the way and improving their environmental impact.
 Although we have had contracts for as many cylinders before, such as the Dallas area rapid transport bus, the added value of building the modules, which go straight on to the flat bed of the truck and trailers, makes this our most valuable single alternative fuel order to date between of USD 10 million and USD 15 million. Between alternative fuel cylinders of systems and gas transportation modules, we invoiced $50 million worth of sales in 2013, up from $20 million in 2012, where, of course, we only had a part-year contribution from Dynetek.
 At a later date, the Type 4 cylinders mentioned earlier, may also be used in some bulk gas applications. Although there are more engineering issues with polyethylene liners over the amount of heat generated on the rapid fill and emptying cycles typical of this application.
 On magnesium and civil aircraft, we continue to work with a number of seat manufacturers on their prospective use of our Elektron alloys in their seat designs. We issued an announcement a few days ago about a first such use by a company called Zim Flugsitz, a second reliable German seat manufacturer. The seats and the components made from our alloys are identical to those we would expect to see in a commercial airliner. But as this application is for an aircraft carrying less than 20 passengers, it is not covered by the FAA regulation that we have been seeking to change. It is nonetheless, a milestone, which we hope will encourage the mainstream manufacturers. Meanwhile, we're doing a lot of research into improving the buy-to-fly ratio by, for example, providing components in much nearer to finished form.
 Andy Beaden will now take you though some of the financial detail. 
Andrew Beaden: Thank you, Brian. And welcome, everyone, to the call. Brian covered the divisional sales announcements and my first slide, Slide 9, shows how that consolidates into the group revenue changes in Q4 and the full year. Total revenues for Q4 2013 was $160 million, with net revenue of $150 million. And the rare earth chemical surcharge was only $1 million. The group's underlying net revenue was down 9% or $11.4 million. Adjusting for FX translation, difference is of a positive $0.7 million, with both divisions having a weaker quarter due to the factors Brian outlined before.
 For the full year, the revenue was therefore, $481.3 million, a fall from the $511.6 million last year, but this was mainly a result of the rare earth surcharge being reduced to customers by 31. -- $32.1 million after rare earth cost fell.
 Translation differences were a negative $1.5 million for the year. And therefore, underlying trading revenue was up a small amount at $3.3 million.
 Turning to the trading profit results on Slide 10. In Q4 2013, on the back of lower sales, trading profit was down at $15 million, when compared to $16.1 million for Q4, 2012. Elektron's profits was down from $11.8 million in Q4 2012 to $10.2 million in Q4 2013. The division's trading margin was only slightly down at 19.7% versus 19.9% last year.
 Gas cylinders profit was up at $4.8 million compared to $4.3 million for Q4 2012, consistent with its improved performance in 2013. Trading profit margin was also improved at 7.5% versus 6.1% to Q4 2012. And therefore, the group's Q4 trading margin was 12.9%, higher than the 12.4% for Q4 2012.
 Looking at the full-year performance, we have provided a series of bridges from 2012 to 2013 for each division and the group. These are Slides 11 to 13, and are designed to show the change in profits, as we would explain them in detail in the 20-F filing, which we made later this month.
 Slide 11 shows the group's profit bridge, tracking the movement from $68.5 million in 2012 to $59.2 million for 2013. Looking at that slide, FX translation reduced profits by $0.4 million, the weaker trading predominantly in Europe and also U.S. defense markets reduced profits by $6.5 million, with the net changes in raw materials and sales prices having a group-wide net benefits of $0.4 million. FX transaction differences were negative $2.2 million. We have production efficiencies of a net benefit of $1.7 million.  Share-based compensation charges from the IPO were $1.3 million and other cost increases were $1 million.
 Slide 12 shows the same analysis for the Elektron division. You can see the key negative variance here is the weaker sales volume and associated mix of sales, which reduced profits by $10 million. There was also a margin impact due to changes in net selling prices when compared to the total out bridge fall in raw material costs, particularly in automotive sectors. And this did reduce profits by $2.7 million. There were some production inefficiencies too of $0.4 million, which we raised in earlier calls, due to lower utilization in the plants, again maybe in Europe. Electrons apportionment to the share-based compensation was $0.7 million. However, there were some significant cost savings achieved during the year of $2.9 million.
 Slide 13 shows the same analysis but for the Gas Cylinders Division, the profit improvement being driven mainly by the improving trading variance of $6.6 million. This include
 [Audio Gap]
 I believe that we were cut off through our telecom's problem. And I think that's the point of the presentation that we were up to, which I believe was looking at the gas cylinders' profitability  year-on-year, which would be Slide 13. Yes. Okay.
 So this was the same analysis that we've seen for the other divisions. The profit improvement for gas cylinders being due to the improved trading variance of $6.6 million, which includes the benefits of the Dynetek acquisition, which added alternative fuel cylinder capacity for the year. Raw material costs were lower and we have some net sales price increases, which are also unofficial. Production efficiencies were achieved of $2.1 million, held by our automation projects. Employment and other costs were higher, up $3.9 million. But this includes investments in the alternative fuels and sales distribution areas along with costs in other areas such as research and developments, including the IOS medical oxygen delivery system.
 Turning to the full income statement on Slide 14, for Q4, the total gross margins were higher at 25.9% for Q4 2013 versus 23.9% for Q4 2012. But with sales being low for the quarter, gross profit was down to $30 million versus $31.1 million. Administrative expenses are very similar at $13.2 million versus $13 million. We had a $1.8 million charge restructuring and similar costs, of which $1.7 million was a one-off actuarial charge in the USA relating to the take-up of a cash buyout or cash settlement offer to our deferred members of our U.S. defined benefit pension plan, which is already closed. 
 This being mainly funded by plan assets, this enables us to reduce the gross liabilities in the USA pension scheme by $11.7 million, which is part of a longer-term strategy to find ways to de-risk the pension liabilities across the whole group. This led to -- after this --  these costs, we have an operating profit of $13.2 million, with interest costs of $1.6 million and IAS 19 defined pension finance charges of $1.1 million, the profit before tax was $10.5 million. This compares to $10.7 million of Q4 2012. The final quarter tax charge was only 16%. This was the result of realizing the benefits of various tax-saving measures which I've spoken about before, but include the U.K. patent box credits, utilization of tax losses and optimizing state tax allocations in the U.S.A. I will cover this further in Slide 15 in a few moments.
 At the bottom of Slide 14, you can see the EPS-to-ADS holders was $0.33 on unadjusted earnings, and $0.41 on adjusted net income. There is a non-GAAP reconciliation for adjusted net income in the slide appendices.
 Looking at the full-year, the adjusted EBITDA is $76.6 million. Net income is $34.1 million and adjusted net income is $39.8 million. EPS per ADS for the full-year was $1.48 on the adjusted net income basis, and though not on the slide, the fully diluted figure is $1.42 per ADS. These figures were in fact higher than we have predicted at Q3, due to attaining the better-than-forecasted tax savings in Q4.
 So turning to Slide 15. You can see 2 key things from the analysis of the group's performance by major trading regions: one, it was the U.K. operating businesses which suffered in 2013 when compared to 2012. But this was mainly a result of weaker sales and profits from exports into mainland Europe. Two, the change in the effective tax rates. The U.K. government did reduce its tax rate during 2013 and it's had a 1.25% impact on the effective U.K. rate, but with a much larger percentage of profits being made in higher tax jurisdictions. Like the USA, the tax saving measures, that we've talked about before, enabled us to avoid a potential charge as high as $14.7 million based on 2012 tax rates. So the $12.6 million 2013 charge represents $1.2 million -- I'm sorry, a $2.1 million tax saving. The effective group rate was 27%. Based on the same mix of profits, I am currently targeting around 28% effective rate for rate for 2014.
 The next Slide, #16, shows the consolidated balance sheet. Overall, invested capital in the operating businesses was $227.1 million, net of pension deficits of $68 million as of the 31st of December, 2013. The point-in-time pension deficits fell by $29 million from $97 million at the end of 2012. This being due to better asset returns, slightly higher bond yields along with our own deficit repayments. The vast majority of the 2013 year-end deficit is in the U.K. defined benefit plan. Net assets or shareholders' equity of the group has risen to $191.7 million, up $42.9 million from the end of 2012. Net debt, debt minus cash is now $35.4 million.
 Turning to cash flow in Slide 17, our operating cash flow for Q4 2013 was a positive $7.3 million. This was after paying $3.2 million of corporation tax, though we are now going to claim back $1.7 million in the first half of 2014, in relation to the various tax savings I mentioned before. Looking at investment cash flows, we made total investments of $13.3 million in Q4 2013, which included capital expenditure, our new plants [ph] and equipments of $10.1 million. 
 The largest single investment being in the expansion of our composite cylinder production facilities in Riverside, California, which has been operating at full capacity for the much of 2013. A further $2.3 million was in -- on intangible assets, the largest element being new ERP computer systems, which are SOX compliant and some development costs in relation to our major strategic growth initiatives, including CNG cylinders and related system technologies, chem cap products and Elektron 43 alloy technology for aircraft seating.
 An additional $1 million was invested in the U.S. gas transportation module JV to fund that business going forward. Cash flow before financing was therefore, an outflow of $6 million. After paying dividends, net interest of $3.9 million, the net cash outflow was -- outflow of $9.9 million. For the full year, we generated operating cash flows after tax of $37.1 million versus $69 million for 2012. 2012 was significantly higher due to higher operating profits, but also a changing working capital. Working capital fell in 2012 due to the fall in rare earth costs and a reduction in our rare earth inventory levels. At the end of 2013, across the group, our inventory levels are higher due in part to the delay in the very large Australian gas transportation order, moving into 2014 and Elektron on the back of a stronger order book at the end of 2013 and the impact of the delayed shipments in Elektron's Zirconium operation, which Brian explained earlier.
 The next slide shows return in invested capital, which was 24% in the quarter, compared to 31% for Q4 2012, lower because of the reduced profits. The full year was still a 22% return on invested capital.
 My final slide relates to our banking facilities, which we have just agreed to extend out to April, 2019. As you can see, we have switched the agreement into U.S. dollars from pound sterling. The committed size has been increased from GBP 70 million to $150 million. We have added an uncommitted accordion of $50 million, which means the facility can be extended in the future to a $200 million facility. All the funds are available for acquisitions as well as organic growth funding. I'm pleased that we -- there was competition to join the extended facility and we have welcomed on board RBS and Santander, meaning that we have now have 5 major banks in the banking syndicate.
 The interest rate margin is also reduced, the debt below 2x EBITDA by 0.25%, and there the facility is larger at $150 million. The non-utilization fees should be broadly the same in total when you compare them to the current smaller GBP 70 million facility. The facilities remain unsecured, through cross-guaranteed by all the U.K. and U.S. businesses. There was relaxation in the acquisition control levels before bank approvals are required, though we, of course, work closely with all our banks on any significant funding matters.
 Thank you. I will now hand you back to Brian to sum up. 
Brian Purves: Thank you, Andy. In summary then, looking at quarter 4, European demand remained weak on the number of orders that were slipped [ph] by customers into 2014. Improved sales mix and lower costs limited the damage to trading profits, and good tax planning allowed us to actually exceed the market expectation on earnings per share.
 Looking at the whole year, while the trading profit is below our initial expectations, the board feels that there were many positives in 2013. The 2 Dynetek plants are now fully integrated and despite there being a driver margin for much of the year, the Cylinder division's operating margin, improved by around 1 percentage point in line with our guidance. The alternative fuel sales got to the $50 million figure that I forecast and could have been more. Although, there was some late disruption to the SCBA market in the U.S., there was strong  underlying demand. The prize of cerium, our biggest rare earth purchase, appears to have stabilized almost back at levels that were there in 2010 before the Chinese export quarters were introduced. 
 We are seeing strong interest in our magnesium alloys for civil aerospace space applications. Our profit issues are focused on our European operations. The North American plants have actually held their own pretty well. And finally, some real improvements have been made to our marginal tax rate.
 Looking at 2014, we remain positive about 2014 with an expectation of: firstly, further growth in 2 of our main markets for composite cylinders, compressed natural gas on breathing air or SCBA. And secondly, our progressively improving European markets for Elektron products. In the short term, as announced by MSA and others, sales of the U.S. SCBA market are being affected by the delayed regulatory approval of the 2013 standard kits. We believe that the delays of the order of 4 months, so we are a company expecting sales to pick up again during quarter 2. We are juggling various products between facilities in order to reserve as much capacity as possible for that event. 
 The impact of the tragic accident at the facility of one of our 2 main military player customers is more difficult to analyze.
 Shipments to them have been suspended, and from previous experience, the investigation into these accidents and the process changes required to prevent a repeat can take many months. Of course, our Flare business is already depressed, so the impact is not what it would've been 5 years ago. But it is still going to hurt. With the Department of Defense still in an overstock situation, it seems unlikely that they will switch production to another source or require a rapid catch back.
 We remain focused on delivering the medium-to-long-term potential for the business, driven largely by our strategic projects, and we remain very positive on them. The alternative fuel sector remains the nearest -- the best near-term prospect for rapid growth. While our Type 3 aluminum line products are, we believe, the state-of-the-art, there are undoubtedly applications where customers are demanding larger diameters than is feasible and/or cost effective using aluminum liners. Accordingly, we have been working for some time on Type 4 cylinders, based on our high-density polyethylene liners. The first of these products is now in production at our Riverside plant, but that plant does not today have the capability or the capacity to take on large volumes of Type 4 cylinders. Accordingly, we have committed to acquire a facility in Utah, which does have the peak ability and the capacity, but without the product. Putting these 2 together, as we now can, will enable us to fully address the American opportunity in Class 8 trucks, where truck OEMs are projecting between 8,000 and 10,000 natural gas-powered heavy duty trucks being sold in the next 12 months.
 Thank you, and we will now take questions. 
Operator: [Operator Instructions] Your first question comes from the line of Julian Mitchell of Crédit Suisse. 
Julian Mitchell: I guess the first question was on the Elektron business. In 2013 you had a sales price, a hit, obviously, of over $30 million. I just wondered what are your assumptions as we move -- for 2014 on that pricing point specifically, in terms of the EBIT bridge? 
Brian Purves: Yes, we had a modest variance between the pricing on the material cost reduction. Fairly modest. I mean, I think it was $2.7 million... 
Andrew Beaden: On net basis across all businesses. 
Brian Purves: Yes. The -- we have, I -- we mentioned in the call last time, we have seen quite a lot of pricing pressure from the automotive sector. And so in order to retain, and indeed win new business, we have dropped prices a little bit. I mentioned in the document that we have won some new business in that sector, which is actually the first that we've won for some time, and that involved dropping the price a little bit. But we're talking relatively modest amounts, couple of dollars per kilo, and the margins that we retain at that level are still very attractive, and at or above the average margin for the products out of the Elektron division. So I think it's more important at the moment that we start to grow volume again, than that we try and hold the prices which have been there over the last couple of years. 
Julian Mitchell: Got it, and then within the Cylinders business, you had about a, I guess what, a 22% incremental margin or something like that, in 2013. I just wondered if that low 20s incremental margin is what you expect for the business looking ahead? And related to that, the sort of $3.9 million drag on profit last year from employment and other net costs, is that a run rate we should expect for this year as well? 
Brian Purves: From a margin point of view, we've been fairly clear that we do have an aspiration to improve the margins in the Cylinder business, but it is a multi-year program. So the kind of 1 percentage point improvement that we achieved last year was roughly what we were targeting. And we would like to achieve that each year for the next several years, in order to improve the operating margin of the business, from where it started at 6%, to getting into double digits. And the road will not necessarily be smooth, but that is our objective. And we think that there is enough work going on, on the automation side, and in terms of the mix switch towards composite to enable that to take place. In terms of the employment costs, certainly, we have increased the infrastructure to support our addressing of growth markets like alternative fuel. We are incurring some quite hefty development costs on projects like IOS, and that will stay for some time, certainly until the IOS project grew into the market. The other thing that always crops up when we look at year-on-year employment costs, is a question of bonuses. We do offer bonuses to local management at business unit level, based on performance. And the bonuses earned in the consumer business last year, which enjoyed certainly, North America strong growth, were quite healthy, where the previous year they weren't. And so year-on-year, you do tend to get that effect, if there's a fluctuation in the performance of the business. Of course, the -- there were very few bonuses paid in the Elektron division, or sadly at our head office. So hopefully in 2014, we might see some further increase on that side. But it's all very much linked, of course, to the profitability of the business. 
Operator: Your next question comes from the line of Luke Folta of Jefferies. 
Luke Folta: Quick, I guess, firstly on the new cylinder facility, seems like an interesting opportunistic purchase there. Can you talk about -- so it seems like $3 million was the initial cost. Can you talk about what you expect CapEx requirements to be at the facility, to get that geared up to make the Type 4 cylinders? And then also, you gave some numbers around what the sales figures could be for Class 8 trucks using the cylinders this year? Can you give us any sense of what that could amount to, in terms of market potential for Luxfer? Just, I guess, for a longer term, maybe not so focused on '14? 
Brian Purves: Well, just looking at the facility in the first place, I mean, as acquired, it does have existing capacity, which we can use. And that capacity is approximately 4,000 of these large Type 4 cylinders. And so the level of capital expenditure involved is not great. Obviously, there will be an invested -- investing in the business to fund it, to grow the business. But From a CapEx point of view, relatively modest to utilize that existing level of capacity. If we should want to, and we hope that we will want to expand the facility, then the capacity can be, we believe, doubled to more like the 7,000 to 8,000 level. And the investment should be relatively modest. But it would be of the order of $3 million, $4 million, $5 million. 
Andrew Beaden: That's right. And Brian, you have, as well as paying the $3 million upfront, once the production ramps up, you've probably got another $3 million of working capital, which we'll see as coming though the cash flow side. 
Brian Purves: Yes. And the market for these Type 4 cylinders, I mean, the 8,000 to 10,000 trucks that I mentioned, is still a relatively modest share of the total North American truck market, where people are talking about potentially getting to more like 30,000 trucks a year, over the next 4 or 5 years. And each of these trucks will take between 2 and 4 of these large cylinders that we talked about. So it is a big market, and the cylinders themselves are quite pricey. They're -- because they are large cylinders, and custom made for that market, they are probably around twice the price of the bus cylinders that are more established in the marketplace. So in the sort of $4,000 to $5,000 range. So it's got a big revenue market. We certainly think that the potential is there for us to grow that sector into several tens of millions of dollars, but it will take a little time to do it. We hope that this year, starting round about the middle of the year, we hope it will be several million dollars of revenue that would come here. But developing it into several tens of millions of dollars over the course of the next 3 years. And the deferred consideration that's referred to in the document is very much an air node. It's sharing some of the benefit of that with the owners of the business that have sold to us if the business performs the way that we and they think that it can do. 
Luke Folta: And actually my next question was, how much profit would have to be generated over that 3-year timeframe for the full $6 million earn-out to be paid? 
Brian Purves: We would have to be -- we'd be safely generating an annual profit out of the business of $5 million or thereabouts. 
Andrew Beaden: That's right, yes. 
Brian Purves: So the share of the enterprise value -- incremental enterprise value is quite reasonable. 
Luke Folta: Okay. And in the CNG side of the business, you've got the $10 million Australian order, that's going to flow through for next year. Should be assume that the $50 million or so of revenue that you generated in 2013 can be repeated for next year? 
Brian Purves: Yes. I very much hope so. Maybe in a different mix, but we have, as you know, been putting additional capacity into the Riverside plant. And that's kind of happening as we speak. And I've previously talked about trying to aspire towards $70 million, $75 million level, and that remains our aspiration. And that will be a mix of the existing truck -- bus, trash truck market, the gas transportation modules. And in second half of the year, the Type 4 cylinders, as well. 
Luke Folta: Okay, and if I could just -- one last one. On 2014, you've given the initial expectation that you'll have year-on-year earnings growth, though despite some weakness in the first half. Is there anything you can say that could, I guess, give us some sense of magnitude of what you're expecting for the full year? And I guess, the first half of 2014 versus the second half of '13? Are we going to see a step down before a potential step up in the second half? 
Brian Purves: I think on the full year, it -- we feel it's a little early to do more than say we expect a year-on-year improvement. With the headwinds that we refer to, quarter 1, I think is fairly, definitely going to be down on prior year. But the other quarters, we would hope to be an improvement. Obviously, we're not quite sure on quarter 2, what the impact is going to be of the deferred military part of the business. But we should start to see catch up on the SCBA business in that quarter. So overall, I'm feeling fairly neutral on that one. But even back in the conference call last time around, we did say that we felt that the second half of 2014 was likely to be the stronger. Because that's really -- we think we still need that long to see the European market start to really pick up. And some of the incremental business that I referred to earlier, on the Zirconium side and the Automotive side, is business which is more 2015 model year production. So that will start around about September of the current year. Just one other point on your earlier bit. The virtual pipeline contract in Australia, we said, at least $10 million, it's in the $10 million to $15 million range. And the precise figure won't be established until the pipeline is in operation, and we see what the maximum capacity required is. But it will certainly be well north of $10 million. Probably won't exceed $15 million. 
Operator: Your next question comes from the line of Chris McDougall of Westlake Securities. 
Chris McDougall: So on the Type 4 cylinders that you're going to be launching in the new facility for trucks, what sort of a ramp time should we expect there? So if you -- when we start up that facility? 
Brian Purves: Well, we've -- we're actually producing some prototype cylinders at the moment in our Riverside plant. But the production will be migrated over to the new plant. And the one that they're doing at the moment is a smaller diameter, more like a 21- or 22-inch cylinder, which is probably going to go into the pickup truck market. The larger diameters will be launched in the new facility. And we're still finalizing the designs on those. So we expect those to be launched at sometime during quarter 2. And usually, what we have to do is to launch with a parent design, and then we spin off different lengths and diameters off of that parent design. So it will be progressive. And the 2014 impact from a sale revenue point of view, will still be relatively modest. I think as I said earlier, that we should manage to get several million dollars worth of sales, but it's unlikely to be as much as $10 million. However, getting the business to the several tens of millions of dollars within 3 years, clearly we'd expect the contribution in 2015 to be quite material. 
Chris McDougall: Sounds good. And then on competing versus other people making Type 4 cylinders, what are the major factors that you're going to be able to compete on, from product design and quality? Or is this just a market that's growing so fast, that there is a bit of a threshold, and then it's a matter of having production volume? 
Brian Purves: Well it certainly helps that there is an expectation of rapid growth in the market. It is quite a crowded area already, with businesses which really haven't had much of a presence in the gas containment market. So today, in this sector, we've probably got Quantum as the market leader. And I -- now, the Luxfer product, which is still subject to final design, we expect to be the latest product by capacity of any of the competition. We expect to have intellectual property around the boss-liner interface, which is the area of a Type 4 cylinder, which is the most susceptible to leakage. And while Type 3 cylinders, with an aluminum liner, that's not an issue, with Type 4 it can be. And so we do expect some intellectual property in that area. Beyond that, you have to, I think, factor in that reputation, in the whole area of high pressure gas containment, is important. Luxfer has been around in this sector for the last 60 years. And we have an exemplary track record, both on service and the security of the product. And these products do carry sort of 250 atmospheres of pressure. It's pretty important that you know what you're doing, and that people recognize that, and the reputation that you built in the marketplace. We've also got, we like to think, a very well-developed sales distribution and marketing effort, being a global business, and indeed the largest gas containment business in the world. So we think we've got a lot of things going for us. And we certainly wouldn't be entering this market without an expectation to develop a leading position in it. 
Operator: Your next question comes from the line of Jonathan Sacks of Stonehill Capital. 
Jonathan Sacks: Just a couple of different questions on a few different topics. For 2014, can you tell us a little bit about your CapEx expectations? 
Andrew Beaden: Yes, Jonathan. I think we gave out some guidance on that on the last call. And we're targeting between $25 million and $30 million, at the moment, right in between the middle of that. So it's about $27 million, $28 million. 
Jonathan Sacks: Okay. And do you view that as an elevated level? Or do you view that as of sort of a normal go-forward level? 
Andrew Beaden: It certainly isn't a steady-state level. So in there is clearly a number of growth projects, particularly in -- on the composite cylinder side, there's still, as you know, expansion of those facilities ongoing. And there would be more investment within the Elektron division this year. Okay, certainly, above that steady state, but as you know, we're targeting the expansion of certain key new businesses. 
Jonathan Sacks: Right. And then, in terms of the sort of extra pension payment, or the below-the-line pension payment, if you will, which I think historically has been $10 million to $12 million, what is the go-forward level of that, in light of some of the changes you had to the pension structure? 
Andrew Beaden: It's going to be very similar at the moment, Jonathan. So we're in the middle of an agreed level of pension payments for the different schemes. So if you remember, it's roughly a deficit repayment in the U.K. of $8 million. And the U.S. does vary between $2 million and $3 million. So on average, it's $10 million to $11 million of deficits repayments. But as you can see, from the year-end results, we have made very good progress in reducing that deficit, from consolidated $97 million to $66 million... 
Brian Purves: The U.S. element that we took action on last year was -- it was opportunistic, it's something that we chose to do at the time. We could have chosen a different time. And over the course of the next several years, we want to just explore such opportunities, to reduce the scale of the -- absolute scale of the liability, and therefore, manage the risk associated with that downwards. So we were pretty pleased to be able do that in the U.S. last year. And maybe the next time that we do something like that, it will be in the U.K. But it's very much opportunistic when we see a cost-effective way of doing it, and we have the funds available to fund it. 
Jonathan Sacks: Great. And then, on the -- the facility that you acquired in Utah, can you just explain a little bit? What was that facility doing prior to your acquisition? Was that part of our larger company? Was that a standalone business? And how was what you're making different then what they were making? And also, did it have existing sales and/or EBITDA? And can you give us a rough sense of that? 
Brian Purves: The facility, which is in Brigham City, in Utah, was purpose-built for the Type 4 cylinders. However, it was built as a subcontract facility, to manufacture Type 4 cylinders for 3M. And the facility has been empty for several months. So the subcontract arrangement with 3M hasn't, so far, really worked out for them, and they're very short of volume. So we were able to step in and pick the business up, relatively modestly. For a very -- relatively modest price, but they do have some good expertise. They've got a workforce experienced in manufacturing Type 4 cylinders. The management there seems a decent bunch of people. They have some knowledge that's of value to us. They have manufactured around 2,000 Type 4 cylinders to date, but not many in recent months, so they were suffering a bit, and we were able to step in and pick up the business for really quite a modest price, given the growth potential of this business, and the value that -- the future value that it can bring to us. 
Jonathan Sacks: And the cylinders that they manufactured, are they the same type as the cylinders that you intend to manufacture, but they were smaller diameter? 
Brian Purves: They will be -- they are of the same type, in the sense that they are Type 4, plastic-lined cylinders with carbon fiber wrapping. But the design will be completely different. Because the 3M product has very many aspects where 3M have the intellectual property. So the design that we have is completely different to that, or certainly doesn't involve any 3M intellectual property. And that's perfectly feasible. We already have our own carbon fiber wrapping patterns. For example, we use different resins on the [indiscernible]. The liner will be made by a completely different manufacturer. So that -- at the end of the day, superficially, they will look quite similar. But they are very -- they are completely different designs. 
Jonathan Sacks: Okay, great. And then, last question. Can you just tell us a little bit about what's happening in pricing, either generally for the business, or by division? And the reason why I ask is, it's wonderful to see the margins so strong, and I'm trying to get a sense, is that purely a function of mix? Or is there also an underlying pricing movement in that? 
Brian Purves: I think the quarter 4 margin is mainly mix. And you shouldn't really assume that, that will be perpetuated, go forward. We do have -- that fluctuates quarter by quarter, depending on the businesses going through there. There is a modest reduction in pricing in the zirconium automotive sector, which we have done to start to grow the volume there again. And that's, I would think, will be perpetuated going forward. But it's relatively modest. I would certainly think less than a percentage point impact on the margin. And it's well worth doing that, to get growth back through. Because as we've said before, the zirconium business is a relatively high fixed cost business, very high margin product. And it's all about getting volume through the plant to recover the overhead and get it back into sensible profitability. And that's what we're about. 
Operator: [Operator Instructions] Your next question comes from the line of Phil Gibbs of KeyBanc Capital. 
Philip Gibbs: Just wanted to hear your progress on the industrial catalysis products in the medical stents. 
Brian Purves: On the medical stents, first of all, that is, in a sort of Stage II in-body trial at the moment. And the feedback that we're getting is quite positive. So that, as far as we're aware, remains on track. Of course, it's our Biotech partner that is conducting those trials. But we do get regular feedback. The design of the material is frozen at the moment. And we are supplying the prototype material out of our dedicated facility here at Manchester for that. So that's -- there's probably, over the course of the last year, it's probably slipped by a few months. But we're still looking at a 2016 launch. And it remains a very, very exciting prospect. I'm sorry, the first one you asked about was...? 
Philip Gibbs: [indiscernible]. 
Brian Purves: Yes, we're making some progress there. It's all very lumpy. We have some business that was deferred from quarter 4 into quarter 1. So quarter 1, in that area, will be quite healthy. And over the course of the year, we do expect further growth. We're still working with a very great many catalyst makers. The big breakthrough project that we're hoping to get, there's still no sign of that, but it is still out there. And our customer told us that they've put it into their budget for 2014. But we're still waiting to finally get an order for that. And of course, as far as we're aware, it's for a new plant, which is being built by his customer, and so the whole timetable is fairly fluid still, but it's still out there. We're just waiting on it to finally happen. 
Philip Gibbs: And just Andy, any color you can give on tax rate for this year? 
Andrew Beaden: 20% -- I'm working. Starting at a rate of 28%. 
Operator: And so finding there are no further questions, I will now return the call to management for any additional or closing remarks. 
Brian Purves: No, that's fine. Thank you very much. I think, the market is just opening. So we'll call a halt there. And we look forward to updating you, actually not that far away, on quarter 1. 
Andrew Beaden: Okay. Thank you. 
Operator: A recording of this conference call will be available for replay in about 2 hours. To hear the recording, call (800) 585-8367 in the U.S., 0 (800) 917-2646 in the U.K., or (404) 537-3406 in other countries. Enter conference ID code 402-2689 when prompted. This information will also be available on the Luxfer group website at www.luxfer.com. Thank you for your participation. You may now disconnect your lines, and have a wonderful day.